Operator: I would like to welcome everyone to America First Multifamily Investors L.P., NASDAQ ticker symbol ATAX, Second Quarter 2020 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. After management presents its overview of Q2 2020, you will be invited to participate in a question-and-answer session. As a reminder, this conference call is being recoded. On behalf of ATAX and its management team, thank you and welcome to ATAX's Second Quarter of 2020 Earnings Conference Call. During this conference call, comments made regarding ATAX, which are not historical facts are forward-looking statements and are subject to risks and uncertainties that could cause the actual future events or results to differ materially from these statements. Such forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements can be identified by the use of words like may, should, expect, plan, intend, focus and other similar terms. You are cautioned that these forward-looking statements speak only as of today's date. Changes in economic, business, competitive, regulatory and other factors, including the impact of the COVID-19 pandemic could cause ATAX's actual results to differ materially from those expressed or implied by the projections or forward-looking statements made today. For more detailed information about these factors and other risks that may impact ATAX's business, please review the periodic reports and other documents filed from time to time by ATAX with the Securities and Exchange Commission. Internal projections and beliefs upon which ATAX bases its expectations may change, but if they do, you will not necessarily be informed. Today's discussion will include non-GAAP measures and will be explained during this call. We want to make sure that you are aware that ATAX is operating under the SEC Regulation FD and encourage you to take full advantage of the question-and-answer session. Thank you for your participation and interest in ATAX. I would now like to turn the call over to Chad Daffer, Chief Executive Officer of ATAX.
Chad Daffer: Thank you, Bridget. Good afternoon and welcome to America First Multifamily Housing Investors second quarter 2020 investor call. Thank you again for joining. Today Chief Investment Officer, Ken Rogozinski will shear his views on the markets and our Chief Financial Officer, Jesse Coury, will present the partnership financial results, then we look forward to taking your questions. I'd like to update you on the effects of COVID, on our partnership since our last call on May 7. First, the Partnership. The Partnership reported $0.09 of cash available for distribution with a book value of $5.75 on $1 billion of assets with leverage of 62%. The Partnership extended maturity on all Tender Option Bond programs. The Partnership extended maturity on all lines of credit and partnership is currently on good standing with all lenders. Partnership mortgage revenue portfolio. Properties reported Q2 average loan collections above 90% with July collection rate were 93% with physical occupancy of 95%. All mortgage revenue bonds are reported current on principal with interest payments. The Partnership has received no request forbearance from any of our Multifamily Housing borrowers. The Vantage portfolio. With the sale of Vantage in Waco in June, the current Partnership investment is $91 million on nine projects; four projects in Texas, two projects in Tennessee, two projects in Nebraska and one project in South Carolina. Four projects are under construction, five projects are in lease up. No Vantage products have experienced supply chain or labor disruptions to date. All Vantage projects have experienced strong rental demand and higher occupancy. All projects will be evaluated for sale upon stabilization. Our Student Housing portfolio consists of two assets, 50/50 and suites on for sale. 50/50 is a 475-unit property located in Lincoln, Nebraska adjacent to the University of Nebraska campus. As of June 30, physical occupancy was 96%. Outstanding mortgage balance was $26.4 million. The property is currently in good standing. The University will resume on-campus learning this fall. Suites on for sale, 384-unit property located in San Diego, California adjacent to San Diego State University. As of June 30, physical occupation was 80%. The property has no debt on it. The University will hold online and on-campus learning this fall. At this time, I'd like to turn it over to Ken Rogozinski, the Chief Investment Officer of ATAX.
Kenneth Rogozinski: Thank you, Chad. The second quarter of 2020 showed a marked improvement in the market for municipal bonds. As noted in last quarter's discussion, for the two weeks ended March 26, 2020 investors withdrew almost $26 billion for municipal bond mutual funds according to Refinitiv Lipper data an unprecedented level of activity. The normalization of the muni bond market that we spoke about in May continued through the balance of the second quarter and into July. As of July 30, 2020 municipal bond mutual funds had seen 12 straight weeks of inflows with the latest observation being a weekly inflow of $1.8 billion. This string of positive fund flows has overcome the March redemptions to the point where on a year-to-date basis fund flows are now net positive. All of this occurred in a rate environment where municipal market data is high grade muni bond scale reached all-time low yields in 10 years at 67 basis points and in 30 years at 1.39% at the end of July. The benefits of this kind of market environment are that the Raleigh and longer-term muni rates has resulted in a higher book value for our existing portfolio of longer-term fixed-rate bonds. It has also resulted in lower funding costs for us on those bonds that we have financed on a floating rate basis. The downside is that it makes the absolute level of rates where we can originate new fixed-income investments lower than our historic levels, which we need to manage through matched funding when available and appropriate interest rate hedging. It has also caused us to focus on shorter duration investments where that matched funding is more readily available and hedging is less costly. In terms of our investment activity for the second quarter, we were successful in making additional investments through both new originations and secondary market purchases. On the new origination front, we closed our first shorter-term construction financing transaction for a property called Scarborough Flats with one of the largest and most active affordable housing developers in the country in June. The shorter maturity of this debt, three years, changes the interest rate risk profile versus our historic portfolio and by matching floating-rate assets with a matched term floating rate funding source, we are able to earn an acceptable net spread on the position. We closed our second transaction of this kind in July with the same project sponsor and we'll continue to evaluate opportunities to further deploy capital in this fashion. On the secondary market side we were successful in purchasing 100% of the first mortgage bonds on an existing Vitech [ph] property called [indiscernible] at an attractive fixed coupon over 5%. We will continue to look for other opportunities like this in the secondary market. We will also continue to monitor our existing investment portfolio for the potential impact of changes in the economy caused by the COVID-19 pandemic. To date we have not received any forbearance requests of principal and interest payments from our multifamily MRB borrowers. We will continue to look to strategically work with our stronger sponsors on new investment opportunities where traditional sources of capital may not currently be available. With that, I'll turn the tings over to Jesse Coury our CFO to discuss the financial data for the second quarter of 2020.
Jesse Coury: Thank you, Ken. For the second quarter of 2020 ATAX reported total revenues of approximately $14.2 million compared to $14.3 million for the second quarter of 2019. Net income for Beneficial Unit Certificate or BUC for short, basic and diluted were $0.06 per BUC for the second quarter of 2020 compared to $0.05 per BUC for Q2 2019. Cash available for distributions or CAD was $0.09 per BUC for the second quarter of 2020 compared to $0.08 per BUC in Q2 2019. On a year-to-date basis, ATAX has reported total revenues of approximately $28.2 million, net income per BUC basic and diluted of $0.10 per BUC and cash available for distributions or CAD of $0.14 per BUC. Our topline revenues for 2020 were boosted by additional investment income from the sale of Vantage at Waco and we also experienced savings on the expense side from lower interest rates on our variable rate debt financing. We reported total assets of just over $1 billion as of June 30, 2020. The assets are primarily comprised of investments in our three main investment classes that Chad mentioned earlier, the first being our mortgage investments to our net spread portfolio. The second being our Vantage investments and the third being our MF Properties. Our mortgage investments or net spread portfolio consists primarily of mortgage revenue bonds. As of June 30, we had 77 total mortgage revenue bonds valued at approximately $788 million or 76% of our total assets. Our mortgage revenue bonds provide permanent financing for properties in 13 states. We hold significant amounts of mortgage revenue bonds related to properties located in Texas which presently represents 44% of our total mortgage revenue bonds. We also have a significant amount of mortgage revenue bonds in California and South Carolina with each representing approximately 17% of our mortgage revenue bond portfolio. As Chad mentioned, all our mortgage revenue bonds were current on contractual principal and interest payments as of June 30, 2020. In addition, all mortgage revenue bonds remained current on contractual principal and interest payments during July. To date we have received no requests for forbearance of contractual principal and interest payments from borrowers of our MRBs associated with multifamily properties. As Ken mentioned, in the second quarter we closed our first shorter-term construction financing loan for a property called Scarborough Flats. We refer to this investment in our SEC filing as a governmental issuer loan. This initial governmental issuer loan totaled $40 million to fund the construction of a 300-unit affordable multifamily housing property in Midland Texas. The governmental issuer loan is functionally equivalent to a mortgage revenue bond in that it is a nonrecourse obligation issued by governmental authority secured by a mortgage on real and personal property of an affordable multifamily property and we expect and believe the interest earned on the governmental issuer loan to be excluded from gross income for federal income tax purposes. Proceeds of the loan will be used to fund the construction, lease up and stabilization of a property at which point our investment will be redeemed. In July 2020, we closed on a second governmental issuer loan under similar terms for our 228-unit affordable multifamily project in Roseville Minnesota. Moving on our Vantage portfolio, our Vantage portfolio consisted of equity investments in unconsolidated entities related to 9 market rate multifamily projects. Such investments had a carrying value of approximately $91.6 million as of June 30, and represent approximately 2,600 rental units in the aggregate. Our investment in Vantage at Waco was redeemed in the second quarter upon the sale of the underlying property and we recognized approximately 930,000 of additional investment income upon sale. To date six of ATAX's Vantage investments have been sold or redeemed resulting in total gains on sale and contingent interest of approximately $27 million, providing the proven concept of the Vantage investment strategy we initiated in 2015. Our third asset class or MF Properties consist of two properties totaling 859 units with a net carrying value of approximately $60.2 million as of June 30. Both properties serve primarily college students, the 50/50 in Lincoln Nebraska adjacent to the University of Nebraska and Suites on Paseo in San Diego, California adjacent to San Diego State University. As Chad mentioned the universities have announced their plans for the upcoming fall semester with University of Nebraska fully resuming on-campus in person classes. San Diego State University currently plans to conduct limited on-campus in person classes and reduced capacity at their residence halls. San Diego State University has also waived its previous requirement that all first and second year students live on campus which may help our fall leasing efforts at Suites on Paseo. We use leverage through various debt financing structures to generate returns on our investments. We had debt financings associated with our mortgage revenue bonds and governmental issuer loan totaling approximately $536 million as of June 30, 2020. Of this amount, approximately 56% have fixed interest rates and 44% have variable interest rates. For comparison as of March 31, 2020, the ratio was 71% fixed rate to 29% variable rate. So during the second quarter we migrated to more variable rate debt due to lower short-term interest rates and favorable financing terms available through Mizuho's Tender Option Bond or TOB program. During the second quarter we terminated all of our debt financing arrangements with Deutsche Bank and replaced them with them with five new TOB trust financing arrangements with Mizuho. The terminated Deutsche Bank financings had fixed interest rates of between 4% to 4.5%, whereas the new Mizuho TOB trusts had variable interest rates initially at 2.1% which lowered our cost of financing by over 200 basis points. As we no longer have any debt finance outstanding with Deutsche Bank, we terminated the master trust agreement in April 2020 and are no longer subject to the related financial and nonfinancial covenants, which gives us more flexibility and manage our liquidity and overall debt portfolio. There are two subsequent events related to our debt arrangements I'd like to highlight. First, as of June 30, 2020, we had 10 variable rate TOB trust financings totaling approximately $123 million that was scheduled to mature at various dates during 2021. In July, we successfully extended the maturity of each of these 10 arrangements to July of 2023 with no change in interest rate turns. These extensions provide us with longer-term liquidity sources at no increased cost. Second, in July 2020, we extended the maturity of our two lines of credit with Bankers Trusts. We've had both lines of credit since May of 2015 and they provide us with two sources of liquidity. The first is an unsecured acquisition line of credit of $50 million which provides a short-term source of funding for our investments. The second is an unsecured operating line of credit totaling $10 million. The maturity date of each line of credit was extended to June of 2022. We regularly disclose our exposure to potential increases in market interest rates to our interest rate sensitivity analysis, which we report quarterly and is included on Page 62 of our Q2 2020 form 10-Q. The interest rate sensitivity table shows the impact of ATAX's net interest income given various scenarios or changes in market interest rates. These scenarios assume that there is an immediate shift in interest rates, and that APAX does nothing in response for 12 months. The analysis based on these assumptions shows that an immediate 2 basis point increase in rates that is sustained for a 12-month period will result in a decrease of approximately $3.1 million in our net interest income and CAD, which approximates $5.1 per BUC. Lastly, we regularly provide our net book value per BUC. As Chad mentioned previously, our net book value per BUC as of June 30, 2020 was $5.75, which is up approximately 7% from our net book value per BUC of $5.38 as of March, 31 2020. The increase is primarily due to an increase in the value of our mortgage revenue bond portfolio caused by lower market yields as of the end of Q2. With that, Chad, Ken and I, are happy to take questions from the audience.
Operator: [Operator Instructions] Out first question comes from the line of Dan David from Stiefel. Your line is open. Mr. David if your line is on mute, please unmute.
Daniel David: Can you hear me now?
Chad Daffer: Mr. David, you are breaking up real bad, I apologize.
Daniel David: I'll try to speak up a little bit here, just wanting to know about the student housing, what percent have been rented now with just a week before school?
Chad Daffer: No, that's coming through much clearer, thank you. Today we've not reported the current occupancy lease up on student housing assets. Right now we have the two student assets and our MF properties and we have the one student asset, and our mortgage bond portfolio. Right now we're kind of putting our head down and keeping the leasing going as strong as we can into the fall semester. I would anticipate after that semester we would have a press release to give an update to the marketplace on what the fall semester occupancy would be, both physical and economic going in - going through the fall semester.
Operator: Thank you. [Operator Instructions] Out next question is from the line of Ben Warwick with QES. Your line is open.
Ben Warwick: Thanks. Yes, this question is for Chad. I was just curious about the share price. You guys obviously are executing well and quite a good news in this call and I was just wondering if you'd ever contemplated, having some sort of virtual Investor Day, where you can introduce yourself to analysts and I was also wondering if you've ever contemplated doing stock buybacks?
Chad Daffer: No, thank you, for the question, Ben. First question as far as non deal road shows trying to answered questions to the, both institutional and retail investor set up for later this month, I agree that we need to have an opportunity to share the credit history and the valuation of the stock at this price, I think is compelling. We need to get out and share that message with investors and make sure they have the opportunity to ask us questions about the strategy going forward. As far as your second question as it relates to stock repurchase, we've never considered stock repurchase to date. Right now in this environment we're continuing to see opportunities on the investment side that we feel are more attractive on a long-term basis than that of the stock repurchase. You know, some things will change and we may consider it at some point in the future, but it's not a consideration as of today Ben.
Ben Warwick: Got it. Thank you very much.
Operator: Thank you. Our next question is from the line of Patrick Marsh with Alex Brown. Your line is open.
Patrick Marsh: Hey Chad, how are you doing?
Chad Daffer: Patrick, good afternoon.
Patrick Marsh: My question was just about the Vantage products. I think I heard you say that you currently still have nine assets, and you've sold six since inception of 2015. Can you just kind of give me a better sense of sort of what you guys think of Vantage going forward and is this kind of - are you kind of at the sweet spot with nine assets? Do you think you can grow it bigger? It seems like the return profiles are pretty attractive.
Chad Daffer: No, I totally agree. We've been fortunate to have best in class development partner for proof of concept under our equity investments into multifamily housing real estate after the proxy in 2015. We've been very fortunate to have a great partner and a low interest rate environment and a low cap rate environment. We've exited these assets and I think approaching $30 million of gain on sale. I encourage you to take a look at page, I think it's 50 or 52 on the Q that outlines the current positions that we have in our ATAX advantage portfolio, 51, thank you, Jesse. And what we tried to do here is just give the investors, a feeling for the absorption rate year over year. Give you folks an opportunity to take a look at what we - what historical holds have been and trying to make the best estimates you can on exits of these assets going forward. And so it's a big part of our business. I think if you look at our balance sheet, it's about a 10% position on our balance sheet. If you look at last year's income statement, it's just a little North of 30% of our gross revenues. And so, as long as we can see continued opportunities when we take a look at both debt and equity opportunities, and it's compelling enough from a credit perspective, and we have comfort in deploying equity into the right development partner, we will grow this business. Obviously the risk profile under a development book is much different than that of the debt book from construction and stabilization risk, and where you're at on the capital stack. But we've been we've been fortunate to have the right partner, the right environment and we've executed the strategy from 2015 to 2020 with some pretty attractive gains for our investors Patrick.
Patrick Marsh: Great, thanks.
Operator: Thank you. Our next question is from the line of John Barn. He is a private investor, your line is open.
John Barn: Hi guys, how are you doing? Congratulations on a very good quarter and has gone into unprecedented times.
Chad Daffer: Thank you.
John Barn: So let's see first question, you know as I've been watching you guys now for about 10 years, and I was trying to get my arms around this thing as reading the Q yesterday. I kind of get the idea that you've got three baskets of income basically like a bank, your are bowling on, and looking at page 44 in the Q right now. Past Platforms may be similar on three and a half and landing somewhere, 596. Do you're making net interest margin on that, that's kind of like the bread and butter? And then you've got properties that are for clothes that you take back we've done admirable work on perhaps getting those properties and selling nose for a gain. And then I guess you get your variance from this would be construction et cetera. Given – and I know you lowered your distribution and it kind of seems like right now the 6% is, again that kind of is your bread and butter basket of net interest margin et cetera. But if we take a look at nine sets of broth distributing six, if some of that relates to extraordinary transactions such as repossessing a property or a mortgage and rehabbing and selling it for profit with the Board, consider doing or keep in mind keep them. Keep them that the distribution rate and there it is right now or just slightly higher to the routine basis and then maybe growing with a special with these other two items of income was in the material.
Chad Daffer: No John. That's an excellent question and thank you for your support over the years. When management, tried to peg the appropriate reduction and distribution for the second quarter of 2020, it was critical, we picked a number that we felt was sustainable. Our deficit was sustainable is in the event that we have reoccurring income off our mortgage spread book. What do you think that number would be that we could continually deliver to the investors over time and giving the time in which we cut the distribution, the unknowns related to COVID and relationship to the exits of Vantage products was previously unknown. So we tried to pick a number and make recommendation to the Board at $0.06 that we felt was the appropriate number given the information we had at the time. Everything is on the table for a discussion going forward. We'll monitor the effects of COVID. My personal opinion is that the consumer and the rental base has been supported by governmental relief programs and unemployment benefits that I think we really now are going to start to see and I hope that it's going to be minimal, but I think we'll start to see some of the effects of COVID come through in collections here in the third quarter. So we will continue to monitor the effects of COVID. We will be in contact with our Board about the distribution strategy depending on the effects, both positive or negative effects of COVID going forward. As far as the distribution strategy, it's very insightful. We've discussed a couple of different strategies that's premature to discuss at this time. But I think just looking at our business and knowing it like you do, there is a material discussion to be had about tying our distribution to our cash flow. There's a reoccurring predictable cash flow up of our spread book. And the other line of business that we participate in is not so predictable, and maybe a special distribution upon exit of those assets that could be for consideration by the Board when appropriate.
John Barn: Well, I would recommend this, and again, after spending some time working through the queue, I think I finally got my arms around it because there was an issue. I mean, some years, it seemed you could go two or three quarters, and you weren't making your distribution and then the big profit and to what extent does it go into a basket? And to what extent is it carried forward, et cetera? So I - it kind of seemed from an operational standpoint, that I didn't appreciate the distribution, but it was a stretch, and you had to have these nonrecurring transactions and make it work. So, I guess, if not, the Board's asking for a recommendation, but set it at the recurring level. And then when you do have these extraordinary transactions, then that doesn't paint you in a corner. But keep up the good work and you've been, you've done excellent work to this. Thank you.
Chad Daffer: John, I appreciate that and your recommendation is duly noted and we'll be sure to share that with the Board when appropriate. To be clear, the Partnerships made over 30 years of continuous quarterly distributions and ATAX since 2015 has earned the distribution year-over-year. So I just want to make sure that your statement was not received and properly from the other folks on this call.
John Barn: And when you do have an investor meeting, it's nice because I mean, we can wait to this queue, but it gets to be voluminous. But I know you've had a fast fact sheet. And you do have that bar chart showing, what the income was per BUC CAD, per BUC and then distribution per BUC as you're rolling forward. It's a very nice chart. So for what it's worth, thanks, guys.
Chad Daffer: John, I appreciate that. In 2015, it was important for us to make our message and our strategy much easier to understand. At that time, our queues were 150 plus or minus pages. Jesse and the teams worked very diligently to try to clean up the disclosure and make it easier to understand the strategy of the Partnership and so on. I appreciate that. We worked hard to try and make it easier to understand what we do and how.
John Barn: Thank you.
Chad Daffer: Thank you.
Operator: Thank you. And our next question comes from the line of Larry Linden. He is also a private investor. Your line is open.
Unidentified Analyst: Good day, gentlemen. How are you all?
Chad Daffer: Good afternoon.
Larry Linden: All right, I have two simple questions. I'm a recent investor. I've been with you about nine months and I started investing when it was mid 6 had gotten up to 8.18. And then low and behold, along comes the Coronavirus. So my first question is, is the decrease in value attributed exclusively to the Coronavirus or are there other things that impacted this tremendous drop from 8.18 to 3.52?
Chad Daffer: Mr. Linden it’s tough. It's tough for us to make a valuation on the stock price. I will share with you two points though for your consideration. The Partnership strategy has not changed in any way. The general - the new general partner is more supportive and creating flow and opportunity and support that we've ever had in the past. I would speculate that the sole reduction in the stock price has to do with the nature of our business model related to commercial real estate. The investment community and I speak with a number of you folks on a regular basis, that when federal governments, state governments, municipal governments, take back the rights and remedies of a landlord as a rake through evictions and the right to forbear, it makes it very difficult for the investment community to predict the future value of the portfolio assets. And so, I think most people and I think that a lot of it has to do with too is we're a small company and we're not always sitting in the radar of a lot of folks. I'm hopeful with the effort today, and the recording of the quarter and our efforts going forward with the non-dual roadshows that we can share with the folks that have interest, a value proposition and the current stock price, based on our credit history and the performance of our assets to be determined in the market will have it's time to speak, but I think it has solely to do with COVID. Our business is solid. Our opportunities are greater than we've seen in the past. Our management team has been enhanced by our partners from Greystone our new general partner. And so, I cannot point you to one thing that would give you any feeling that something has changed in our business model or our ability to execute it that would drive the current stock price.
Unidentified Analyst: Second question if I may?
Chad Daffer: Please.
Unidentified Analyst: You reduced the dividend by 52% this quarter. Do you have any expectation that this will continue or do you have an expectation there would ever in the next three to six months go back to where it was before the 52% decrease?
Chad Daffer: No, I think that's the question of the day for not only our investors, but our management team. And I think you're asking us to predict the future effects of COVID that is yet to be determined. And it's tough for me as the manager, as part of the management team, to provide you guidance today on tomorrow's data. And so, we're going to keep, we're going to continue to be very diligent and surveillance of the assets. When the opportunity makes the most sense for us to make proper recommendation to the Board, we will go to the Board and ask them to approve an increase or a decrease depending on the effects of COVID in the future.
Unidentified Analyst: All right, thank you very much.
Chad Daffer: Thank you.
Operator: [Operator Instructions] I'm not showing any further questions. So I'll now turn the call back over to Chad Daffer for closing remarks.
Chad Daffer: Thank you, Bridget. I'd like to take everybody opportunity to thank you for your interest today. These are interesting times. I assure you the management team will remain very diligent and will be responsive. I encourage all of you to call, ask questions of any member of the management team. In times like this, ability to access the folks that are making the decisions with your hard earned capital is paramount to us. So I encourage you to call in and we'll make sure that we take the time to call and answer any questions that you might have. Please be safe. We always continue to ask that the management team and our investors be safe and we'll look forward to talking to you, if not sooner here at the end of the next quarter.
Operator: Ladies and gentlemen, this concludes the program. Thank you for participating and good day.